Operator: Good day, and welcome to the Starwood Property Trust Second Quarter 2014 Earnings Conference Call. Today's conference is being recorded. At this time, I'd like to turn the call over to Mr. Zachary Tanenbaum, Director of Investor Relations. Please go ahead..
Zachary Tanenbaum: Thank you, operator. Good morning, and welcome to Starwood Property Trust's earnings call. This morning, the company released our financial results for the quarter ended June 30, 2014, filed its Form 10-Q with the Securities and Exchange Commission, and posted its earnings supplement to its website. The documents are available in the Investor Relations section of the company's website at www.starwoodpropertytrust.com. Before the call begins, I would like to remind everyone that certain statements made in the course of this call are not based on historical information, and may constitute forward-looking statements. These statements are based on management's current expectations and beliefs and are subject to a number of trends and uncertainties that could cause actual results to differ materially from those described in the forward-looking statements. I refer you to the company's filings made with the SEC for a more detailed discussion of the risks and factors that could cause actual results to differ materially from those expressed or implied in any forward-looking statements made today. The company undertakes no duty to update any forward-looking statements that may be made during the course of this call. Additionally, certain non-GAAP financial measures will be discussed on this conference call. Our presentation of this information is not intended to be considered in isolation or as a substitute for the financial information presented in accordance with GAAP. Reconciliation of these non-GAAP financial measures to the most comparable measures prepared in accordance with GAAP can be accessed through our filings with the SEC at www.sec.gov. Joining me on the call today are Barry Sternlicht, the company's CEO; Rina Paniry, the company's CFO; Boyd Fellows, the company's President; Andrew Sossen, the company's COO; and Cory Olson, the President of LNR. With that, I am now going to turn the call over to Rina.
Rina Paniry: Thank you, Zach, and good morning. I will begin this morning by reviewing the company's second quarter results, both on a consolidated basis and for each of our 2 business segments. Following my comments, I will turn the call over to Barry, who will discuss current market conditions, the state of our business, and the opportunities we see looking forward. Starwood Property Trust continued to deliver strong results for its shareholders this quarter. During the second quarter, we recorded core earnings of $115.2 million or $0.51 per diluted share, which is up 67% and 21% from the $69 million of Core Earnings and $0.42 per diluted share that we reported in the same period last year. When we normalized last year's quarterly results for the $13 million in costs associated with the LNR acquisition, core earnings year-over-year grew by 40%. The primary drivers behind our earnings growth were continued expansion of our loan book, which is $1.6 billion larger than it was last year, as well as a continued rally in the CMBS market, which increased the fair value of our securities portfolio this quarter. The CMBS portfolio has more than doubled since the LNR acquisition in April of last year, growing to $638 million at the end of the quarter from just $314 million at the time of the acquisition. During the quarter, we were able to harvest gains of approximately $15 million in both our RMBS and CMBS books, selling securities, which no longer met our return requirement. In addition to these factors, we have LNR contributing a full quarter of earnings compared to only 73 days in the prior year period. As of June 30, book value per diluted share was $16.59, a $0.74 or 5% increase over our book value per share at the end of last quarter. Fair value per share, which we compute as the fair value of our assets and under [ph] the par value of our debt, stood at $17.20 at the end of the quarter, an increase of $0.81 or 5% over the level we reported at the end of last quarter. These increases are principally the result of continued strong earnings from both our business segments, as well as our April equity offering, where we issued just over 25 million shares of stock, and raised approximately $565 million. Though our equity offering was immediately accretive to our shareholders, we encountered some unexpected delays in deploying the incremental capital we raised during the quarter. These delays impacted our core EPS, principally in our Lending segment, which takes me to the next topic of discussion, the second quarter results for each of our 2 business segments. I'll start with the Lending segment. During the quarter, this segment attributed GAAP and core earnings of $65.4 million and $76.2 million, which were nearly twice the levels we recorded last year. As I mentioned earlier, these increases are attributed to growth in the loan book, as well as the onetime charges incurred last year as a result of the LNR acquisition. The Lending segment closed approximately $600 million of new investments during the quarter, which was lower than our first quarter run rate. This brings us back to the discussion of the April equity raise. As we have mentioned in the past, excess capital is very dilutive to earnings, and we, therefore, always look to raise capital when we have an identified pipeline of transactions that we expect to close over a 60- to 90-day period. However, the timing of loan closings cannot always be predicted with precision, and certain ones may be delayed, or others simply do not simply close at all. In looking at our pipeline at the time of the equity raise in April, $212 million of that pipeline did not close. About $327 million closed late by an average of 33 days, and another $30 million are still in closing today. As a result, our cash balance at the end of the quarter stood at just over $500 million. That said, shortly after the end of the quarter, we deployed just over $1 billion, $1.1 billion to be exact, in additional new loan commitments. Most of these were loans that we expected to close during the second quarter. These new loan commitments include a variety of property types and primary market locations, all with first-rate institutional sponsors. Nearly 100% of this $1.7 billion in new loan commitments are LIBOR-based floating-rate loans as is 88% of the Lending segment's pipeline. The fixed rate exposure in our pipeline is attributable to a single large loan. We agreed to a fixed rate on this loan because the loan provides 2 key features, the first of which is 10-year call protection, and the second of which is a levered return in the low double digits. Looking forward, we have a strong pipeline of high-quality transactions that continue to meet our risk-adjusted return criteria. Given the high volume of our loan book that is floating rate, we should benefit from a rising rate environment. We continue to finance our floating-rate investments with floating-rate debt, and our fixed rate investments with either fixed rate debt or floating-rate debt hedged by interest rate swaps. We estimate that 100 basis point increase in LIBOR would result in an increased to income of $14 million. In addition, the credit quality of our portfolio continues to be our utmost priority, with an average loan-to-value of 65%. Moving to the LNR segment. This business has delivered another strong quarter of operating results, contributing GAAP and core earnings of $52.5 million and $39 million during the quarter, an increase of 60% and 9% over the same period last year. Driving the current quarter growth are 2 main factors. First, we benefited from having LNR for a full quarter versus just a stub period after the April 19th acquisition last year. The second main driver was the continued rally in the CMBS markets, which led to higher unrealized gains on a GAAP basis, higher realized gains from full bonds on a core basis, and higher interest income overall. These increases were offset by a slight decrease in the normalized operating results of the servicer. As we've mentioned in the past, the services revenues are expected to trend downward until 2016 and 2017 when 10-year CMBS maturities will more than double due to the peak issuances from the 2006 and 2007 vintages. Included in LNR's results for the quarter is a reduction to the domestic servicing intangible of $12.8 million, which is consistent with the reduction we recorded last quarter. This leaves the intangible with a remaining book and fair value of approximately $206 million at the end of the quarter. Despite its continuing expected amortizations, the servicing asset continues to perform well ahead of our underwriting expectations, and we expect that it will continue to generate positive returns on our invested capital. As we stated in the past, the LNR platform allows us to exploit high-yield opportunities in the CMBS space across varying market conditions. The performance of these securities is naturally hedged by the earnings potential of our role as special servicer in the same transactions. To that end, we continue to be a preeminent player in the CMBS BP space, investing substantial capital in new subordinate CMBS, and acting as special servicer for the related CMBS trusts. For the first half of the year, LNR ranked first in new issued special servicing assignments, and continues to be a leader in this space with over 1/3 overall market share. As of June 30, LNR was actively servicing $15.6 billion of loans and real estate-owned for 152 trusts, with a collateral balance in excess of $135 billion. This balance is fairly consistent with where we were at the end of last quarter. Our conduit business continues to be a key contributor to the LNR segment's operating results. For the quarter, our conduit originated over $300 million of loans and completed 3 securitizations. Now turning to capital markets. As I mentioned earlier, in addition to the April equity raise, during the quarter, we reestablished our ATM stock offering program, which provides us with a flexible mechanism to issue up to $500 million of common stock in the future. In the quarter, we issued 759,000 shares under this ATM program. I would also like to mention that during the quarter, we announced the introduction of a dividend reinvestment and direct stock purchase plan. The dividend reinvestment component provides our shareholders with the opportunity to reinvest all or part of their dividend in additional Starwood property trust shares, while the direct stock purchase component allows our shoulders to purchase shares directly from the company. More information on these programs can be found in our SEC filings. On the financing front, during the quarter, we upsized one of our debt facilities by $43 million, and reduced pricing on this facility. Just after the quarter, we increased our borrowing capacity on another facility by $100 million, and entered into a new 3-year $250 million warehouse line to finance our more transitional assets. This brings our total borrowing capacity to approximately $4.8 billion. We continue to take a very conservative approach to our overall leverage, inclusive of corporate level debt, such as our convertible notes and our term loans. Even with these facilities, our debt-to-equity ratio was just 0.9x at the end of the quarter. We are currently in the process of upsizing or renewing certain of our facilities and negotiating additional new facilities, which should provide incremental capacity of approximately $400 million. As we look ahead, I'd like to turn to a discussion of our current investment capacity, the third quarter dividend, and our 2014 earnings guidance. As of Friday, August 1st, we had $251 million of available cash, $89 million of net equity invested in liquid RMBS, $18 million of approved but undrawn financing capacity, and $474 million of unallocated warehouse capacity. In addition to this, we expect to receive approximately $545 million during the third quarter in loan maturities, prepayments, sales and participations. With these various funding sources, we have the capacity to originate or acquire up to $1.2 billion in additional new investments. Our growing level of capital deployment and ability to generate consistent returns have allowed us to sustain our existing dividend to our shareholders. To that end and consistent with prior quarters, our Board has declared a $0.48 dividend for the third quarter. The dividend will be paid on October 15 to shareholders of record on September 30. The $0.48 dividend represents an 8% annualized dividend yield on yesterday's closing share price of $23.57. We believe that this reflects an outsized return on a high-quality portfolio comprised of 65% LTV loans, with a modest debt-to-equity ratio of less than 1x. As we look to the remainder of the year, we continued to be pleased with our financial results, and are reaffirming our core EPS guidance in the range of $2 to $2.20. With that, I'd now like to turn the call over to Barry for his comments.
Barry S. Sternlicht: Thanks, Rina. That was pretty comprehensive. I have nothing left to say. If anybody knows me from these calls, that's not possible, but I want to thank the team, again, for a really good quarter. I think what you don't see is the tremendous effort and work of Rina and Cory and the team at LNR on the consolidation of the accounts of both companies, the heritage Starwood Property Trust integrating into LNR, and its accounting systems and all the technology that's behind the company, which is certainly best-in-class. So I'll say it was a solid quarter. I'll talk about the quarter first, and then about the market, a little inverse of what I usually do. But I think it was a solid quarter. We slightly screwed up the closings, but we did close $1.1 billion after the quarter end, and I think that's kind of a comment on the market, which I'll come back to in a second. I think also you'll see in -- my quote in the earnings release talks about the deployment of capital at LNR. One of the key reasons we bought LNR was to continue to be able to deploy capital at high rates of return for the shareholders in new business lines, but all of our segments performed fairly well. The large loan business, especially if you include the $1.1 billion of originations post quarter end. $1.7 billion is a good number. The LTV in the company's quite remarkable, but it hasn't really dribbled up over the last 4 years we've been doing this. It still remains around 65%. It actually was higher earlier. It's actually come down. The servicer continues to do well, well outperforming our expectations of $135 billion of main securitizations. I will point out, for those of you who don't know, that there's only $44 billion of CMBS maturity this year. 2016, 2017 there is nearly $120 billion each year. So those are the 10-year maturities of '06 and '07, a series of CMBS, legacy CMBS securities. So we consider those optionality for the company. If interest rates are high, there will be great distress, and our fees will largely -- likely be larger. If interest rates are low, that stuff will get refinanced, and it's pretty much what we probably modeled. So it's an interesting embedded optionality that investors are getting for free in the company, which is really unique. It's also nice to see the servicer maintain its position or reassert its position as the largest in the country, and that's really because of the B-Piece investments they've made and the growth in the CMBS book. That really surprised me, and it's really great, and the team at LNR has done a really nice job. You actually won't hear us talk about LNR as LNR much longer because the only thing left in LNR that we'll call LNR is the servicer. We'll call it Starwood Securities Trading or something like that. And the Hatfield Philips, which you haven't heard about, which is our servicer in Europe has had a reasonably good quarter 2, and continues to perform vastly ahead of our underwriting. So that is the #1 servicer in England and the U.K. It has about 120 people based in Frankfurt and London, and it's doing a nice job. So we'll also continue look at entering new business lines, and recently, we've met with the management team and all the reports and talked about things that we can use, the talent pool that we have and places we should deploy capital, which can meet or exceed our target rates of return. So we also are working to increase the ROI of the company. So you saw some CMBS sales where the yields of maturities were sub 8% on the notes, and the value spiked, and we quickly mined the book and found some securities, and they are more like that. If I look at our -- I was asking Andrew, as we were talking this morning, whether or not our kickers in our equity -- of the equity kickers the REIT has are in our fair market value for the stock, and they're not. And I can tell you, there were some things that we were offered recently by one of the borrowers to buy back. So we -- our fair market value is higher, and I would almost guarantee you that there's more value in the CMBS book than we're marking it to. So our actual fair market value book, I would say, is probably $1, maybe $2 higher than it looks like on your -- on what we gave you in the earnings release. So the market overall is really quite competitive. There are 38 conduits operating today. I think we have one of the best-in-class. Certainly, we produce good margins. We have a great team. They're very dedicated to what they do, and they don't bite off more than they can chew. Our job is to pick the spots in the market where we think we can get these excess returns, and we continue to do so. We go where the banks can't easily go or the finance companies have left the table, and we do leverage significantly off the Starwood Capital Group equity team, which is big and broad. And I'll point out that one of the loans we made in the quarter was a sales equity purchase. We were bidding on a property on the West Coast that we lost, and we turned around and made the loan on it, and that's perfect synergy because we know the asset. We know what we're willing to pay for it, and we certainly would lend to it. We actually lend-ed, I think, less than -- almost 50% of what we bid. So we're delighted when that happens, and we want to do more of that. We actually have to take advantage of the relationships that the equity side of the house has more, and finance people you can partner with on the equity side. So it was great to see a very large, very lucrative loan that came off of the equity desk, essentially. We're also looking at other geographies where debt may not be prevalent, and where we think we can get excess return, and we're organizing ourselves to perhaps put a foot in the water in some of these other countries. Our visits in Europe, Europe has also tightened dramatically and -- but there are countries in Europe that is less prevalent. So we're seeing good activity in Europe, but clearly, the credit markets have come down -- spreads have come in very dramatically in Europe. And that leads me to one last comment about the market, which is the Fed notice. The Fed has put out a warning to banks that don't lose your stuff here, and don't let your credit quality of your loans drift too low, and I think that's very good. The Fed is paying attention a little bit, better than they did in '06 and '07. But clearly, the world is craving for yield, and we just have to be really careful. And I think having an equity background is a key component of treading the water through what I think is getting an increasingly competitive environment. And I'll say again, it is remarkable that the LTV of the company has stayed as low as it is. It's also remarkable, the width of the mezzanines we are providing or that we're creating. These are not 72% to 73%, earning 12%. These are 50% to 65% or 50% to 70%, slices of the capital stack earning tens, and that is clearly the best risk-adjusted return available in any fixed income investment anywhere on the globe today that I can think of. It's almost 2x what you're getting in high yield. On the personnel front, we continue to look at our own talent, but we're also going to bring in new talent that helps the firm grow, and to match what we think will be our future opportunities. So we recently hired Jeff DiModica, who was a Managing Director at Royal Bank of Scotland, RBS, and he was the former -- he ran sales and strategy for them in covering the mortgage group. He had 38 reports, and a group of 182 people that reported to him, and he's come -- joined us, we've already deployed him quite actively in looking at and exploring new business lines, and helping us in the securities operations of the firm, valuing deploying capital. So we're really excited to have Jeff here. He's actually sitting here in Connecticut with me, and we welcome him to the firm. We look forward to his contributions. So I think that I'm going to stop. I don't really think that there's -- it's business as usual. I mean, we're in good shape. We have plenty of capacity and plenty of capital. We will be funding. We have pretty much match-funded repayments, expect the repayments withdraws. We're pretty comfortable, and what we argue about internally is how low do we go in spreads. And where do you -- we'd rather do better assets at tighter spreads than go higher in the curve for lesser quality assets at higher returns. And hopefully, ultimately, the market will recognize that. But spreads will clearly be getting pressure over the next 1 year or 2, unless the market backs up. And the market, you don't think it's going to back up, it's going to be a one-way road, and then it backed up 2 weeks ago when the junk bond market collapsed. So we like that. I think this is -- we've been through this 3 or 4 times already. Since '09, when we IPO-ed, the markets have gapped out and in and out and in, and we just stay the course. And I think borrowers understand that we'll do that. And I'll say these are highly negotiated deals. Some of the transactions we've done recently have gone back-and-forth, even to my desk, asking the borrower for recourse or other changes to the provisions, to make sure the borrower has net worth covenants. These are very highly negotiated large loan transactions, and I think that we will continue to find them though. As in any of our businesses, you'll never know where your next investment's coming from. So with that, I'll stop. Any questions?
Operator: [Operator Instructions] And we'll take our first question from Jade Rahmani with KBW.
Jade J. Rahmani - Keefe, Bruyette, & Woods, Inc., Research Division: I wanted to ask if you've seen any spread widening over the last couple of quarters and if you view that as a positive opportunity -- sorry, the last couple of weeks?
Barry S. Sternlicht: Yes, it's early to tell you that. It's too early to tell you. We'll see. As you know, the CMBS market backed out a little bit. The new issue market securitizations got a little choppy there at the end of the quarter, but it's too early to tell what this all means. There's volatility in the market. The [indiscernible] was, what, 11. Now it's 17% or so. I'll say, look, to me, the market is definitely saying that we're in for a little unusual period, but the 10-year has rallied. I think rates -- my general view, is short end is going to go up over the next 12 months. And even though the economy is not creating great jobs, a lot of these jobs are part-time jobs, which are called full-time jobs in unemployment consensus numbers. They still put up a headline number that's showing reasonably good progress on unemployment. So I think that the Fed knows they're not high-quality jobs. The Fed is worried though about what's happening. These are jobs, by the way, they're 29.75 hours. There are jobs that you don't have to -- that you don't have to give your employee healthcare. So that's the new U.S. United States. That's the negative consequence of ObamaCare, and it's impacting everything. So including the income growth of Americans, which is affecting spending, and the desire to buy houses and everything else. So given that, I think short rates go up, but I don't think the long end moves much. I think the curve flattens, and so the Fed will have to raise rates. But I think that's actually really good for us. It's really good for real estate as an asset class. And I think that actually is pretty good, and I don't really see a lot of inflation because I don't see the labor pressures or commodity complex. Without the Chinese buying everything in sight, like they used to buy all the copper in the world. I don't think you're going to see it, and you have excess production of oil and gas, I can't see it in the near future. So I think we're fine.
Jade J. Rahmani - Keefe, Bruyette, & Woods, Inc., Research Division: Regarding the competitive environment, which you referred to, is can you talk to where the pressure is greatest, whether it's -- is it on yield or are there other things like deal structure fees? You've given concessions on prepayment penalties or origination fees?
Barry S. Sternlicht: I said this 4 years ago that the credit crisis was caused -- was, really, there was a referee to the credit crisis that -- and they were never the guys driving the bus, are still driving the bus. And those are the rating agencies. They facilitate the credit ratings that allow securitizations to take place on, perhaps -- on paper, that shouldn't be securitized because they don't really understand the real estate. So I think the toughest place in the credit complex is the conduit market. I think the conduits are very aggressive, and very undisciplined, some of the conduits. We have yet to have a loan rejected out of a securitization. We've probably done $5 billion or $6 billion, you've done, in the last 5 years, 4 years? More than that...
Andrew J. Sossen: We've done about $3 billion will do, $1.6 billion projected this year, up from $1.5 billion last year so...
Barry S. Sternlicht: But they're really picky. We've done deals where we've written a little larger loan, and then we, the property trust, wrote -- took the mezzanine and then we sold the mezzanine separately. So we partnered with the conduit that had stretched proceeds, and then we said get rid of the mezzanine, which they did. So it's -- the conduit market is super competitive. And I would say spreads are coming in and LTVs are climbing, no doubt. The -- on the whole loan side -- on the major assets, there aren't that many guys, and to some extent, we're partnering rather than competing with them. We just split a loan 3 ways that we sourced with 2 other public companies, actually. So that seemed to be the right thing to do. The other thing we're doing, which I should have mentioned in terms of increasing our return on equity or ROI, return on invested capital, we are selling down some positions. We're selling a position to an Asian life company in one of our loans. It's almost like an IPO, right, because we're going to raise, in this case, $150 million and redeploy it into other assets. So we continue to look to diversify our book, and it's accretive to us. It's accretive to shareholders because we don't have to actually go out and raise any money, and we can deploy them to a new asset or higher return. So that transaction we'll talk about in the next quarter, it should -- supposed to close in the next 2 weeks so -- but all -- we're just getting better at what we do probably, a little more sophisticated and smarter. And we recognize the disruption that the equity offerings create in the marketplace. So if we're growing, great. If we can redeploy our capital, higher and higher rates of return, we find new business opportunities, which we're actively looking for. Well, it's coming back to the market for something like that, an acquisition of scale, but we'd be willing to do if it was accretive to the shareholders.
Jade J. Rahmani - Keefe, Bruyette, & Woods, Inc., Research Division: Great. And now maybe a quick one for Rina, just -- do you have an assessment of what the impact of the delayed loan closings was maybe on a per-share basis, what the impact to core EPS was?
Rina Paniry: On the high side, we came to $0.05 or $0.06. It's probably lower than that when you consider the fact that we took that capital. We deployed it elsewhere. We paid down debt. So you kind of had to look at the net...
Barry S. Sternlicht: The net.
Rina Paniry: And that's where we struggle to kind of come up with a net. But on the high side of it, it's $0.05, $0.06.
Barry S. Sternlicht: That's a lot. That's a lot.
Operator: And we'll go next to Charles Nabhan with Wells Fargo.
Charles Nabhan - Wells Fargo Securities, LLC, Research Division: I know you touched on some avenues for capital deployment, but could you elaborate on, specifically, if you're looking to grow organically or if you're looking at acquisitions in certain areas? I know you've talked about bolting onto the Hatfield -- the servicer in Europe, but if you could elaborate on potential avenues for capital deployment.
Barry S. Sternlicht: Yes. Sure, all the above, organic growth, every business line, through acquisitions, or obviously, organic growth, and we've talked over time about triple net real estate. And there's a reason we didn't do cap lease, which we looked at in some of the other companies that have been acquired. And the reason's always been the term debt. And I go to our risk aversion, which is if these companies had debt that was co-terminus with their leases, and what should wind up happening, you're hyper hammering -- ammo-ing the debt down so that when the lease terminated, in cap leases case, the asset was on leverage. So what that created for shareholders was income without cash to pay the dividend. So you have equity in the asset but -- and I didn't want to do that. I don't like drinking my own blood. So I wanted to basically make sure that we cover the dividend of current earnings and cash flow. And we've actually used that philosophy since the day we started the firm. So our dividend is going to match our -- we're not going to pay-off future earnings and get into trouble. We're going to pay out what we earn, and whatever we need to meet REIT regulations. But when you're hyper-hammering debt like that, and you obviously having income tax, well, income must be distributed. And we didn't have the cash because all your cash was paying off the debt. So that means you're using cash on somewhere else, and you can't refinance the debt. You can't relever it. So because they're first mortgages, and they do not let you do that. So we've passed on many a transaction that had that debt feature. We have looked at other companies where the debt could be done corporately, which was IO. And that would be far more attractive to us. So we continue to look in those spaces. We still think that's semi-interesting. So potentially, very interesting. And there are other public companies we're talking to that over time that maybe one day we'll actually agree on price and find something to do. In the meantime, we're -- we'd like to grow faster. I'm the last person who thinks big is better, I think there's dis-economies of scale. Having said that, in a finance company, I do believe big is better. That drives our cost of capital down, and we still have an eye on investment grade. And if we can make investment-grade, our whole business is better. So we can finance cheaper. We can lend at lower spreads because we can borrow at lower spreads, and we're the virtual cycle and it's all good. We actually -- our company is running, for example, at a lot less leverage than Blackstone, our biggest competitor at the moment, the XMT. And we've chosen and talked about whether we should raise our debt, and we're going to continue to look at that. It represents ammunition, if you will. We'd raise ROE if we raised our debt levels. Making obviously, the converts very, very cheap. I think we're 0.9 versus maybe 3, as I think Blackstone talked about in the last earnings release last week. So that's a very different risk profile, and our dividend is obviously higher than theirs at the moment. So half -- less than half the debt, a dividend that's higher, lots of lines of business, hopefully, a bigger balance sheet, more diversification, arguably a better mousetrap at the moment, but time will tell. We'll have to work hard to keep up our results.
Charles Nabhan - Wells Fargo Securities, LLC, Research Division: Okay. And as a follow-up, could give us a sense for how large you see the construction portfolio growing? And if you could give us a sense of the economics of some of the recent transactions in terms of return expectations and duration of the portfolio?
Barry S. Sternlicht: Yes. Big debate, internally, and actually, with the board on the scale of what we want to do in that space. We've been very picky. We've leant in basically, Manhattan and San Francisco, and -- but we've kind of put a halt to it for a while. The returns are fairly compelling if you're lending $0.50 or $0.60 on the construction dollar. You're obviously investing 50% or 60% of replacement cost, and we've diversified our transactions by property types so we have a loan on Hudson Yards, the 1 million-plus square-foot tower. I consider that one to be one of the best loans in the whole book, and a classic example of where we can compete very well. I won't give you the coupon, but it's a lot, and it's not prepayable. And it's backed by credit tenants, and you and I would empty our trust accounts to buy the building at our loan balance. So it's a very safe loan at a very good coupon. Structurally, it was really hard for the banks to figure out how to handle the Coach lease. Coach is buying their space in the building, and they were funding [indiscernible] with Related and us. And it's really a screwy security. The banks got all tickled up in their underwear, and there were 4 or 5 banks doing the loan, and then Related called us, and said, and they called me, and said, "Can you help us?". And we said, "Absolutely. We'll definitely going to help you." So we did the loan, and they're their happy, and we're happy. And the way we restructured it, even though they're paying us more coupon than they were paying the banks, their ROE is actually higher. So -- because we funded closer. And down the road, we intend to lever that part of that investment which is currently unlevered. So they have -- that's an office tower. Then we have the Charles Condominium, which is now completely sold out just about on the Upper East Side. I think we're in at $850 a foot. I mean, can you find anything in Manhattan for $850 a foot? And that's -- so we don't even -- that's construction loans, but it's not really a construction loans anymore. The building is being built and completed. The CFO is going out, and the units will close and we'll be paid off. So another deal that was -- is just starting. The West 57th Street transaction, which we're funding now. It took awhile for them to get their permits. That's another example of a deal, which is a long time to close. It probably was in our books for 9 months with One Worldwide. So we've been really picky on the borrowers, really picky on the assets. But we really don't want to overload our balance sheet with too many of these investments. They are the obvious place the banks are not competing as heavily because of the regulation, the capital requirements for construction loans. But it does change, at least, on the face, people would quickly look at our construction, and say, "Oh my god. They're doing construction loans, having bought Corus, which was 101 construction loans." And now worked that portfolio out, and it's completely liquidated now. I think we have like 2% of the assets left. We've seen that -- the dark side of construction, but I think it's around what it's going to be. We've recycled capital into that, and we've actually [indiscernible] the non-construction balance sheet and -- but we like what we've done, and we're very comfortable with it, and we review it all the time. And actually, we should mention that I think our credit scores of the portfolio is as good as they've ever been, I think, right. I think that's true, right?
Unknown Executive: In terms of our [indiscernible], great, yes.
Barry S. Sternlicht: So our book is performing really well across the board.
Operator: [Operator Instructions] We'll go next with Eric Beardsley with Goldman Sachs.
Eric Jansen Beardsley - Goldman Sachs Group Inc., Research Division: Just with your expected maturities this year and the yields that you're putting on new loans, where would you expect your, I guess, target portfolio total yield to go on a leverage basis?
Barry S. Sternlicht: We're 10 to 12 now.
Unknown Executive: Yes. We're at 10.2 to 10.8, yes.
Rina Paniry: 10.8.
Barry S. Sternlicht: I think it's drifting down. It's drifting down. Again, this is the risk of our leverage. Do we put more leverage on, then we can take it up again. Do we go up in LTV, we haven't yet. The book stays the same. We will, it depends on the asset, if we're doing multi-family, we go to 75%, but we don't see a lot of multi-family that we can't get our spreads in that. So I think our supplement talks about 10.2, and we'll go to 10.8 when we lever -- fully lever the seniors. One of the things that's pulling that down actually, the construction loans because we -- they'd go out its first mortgages, and they're not -- there's no leverage on them at all. So let's say we're making a loan at L plus 7 and points at L plus 6 or L plus 8. As the deal may be done, we're going to lever it later. We're going to lever it when it get closer to completion, and there's a more sizable senior in place, and we're looking at that. But that is one of the reasons or key reasons why that has actually drifted a little bit down because we have, for example, Hudson Yards is an unlevered first mortgage construction loan. And when it got to, let's say, $400 million, we could borrow $200 million, sell at senior, but we do that at L plus 2.25. So imagine what the coupon is on the debt at that time. So we've actually looked at it. We looked at the coming spreads, if you will, that's coming off. We are seeing a few more prepayments than we would have seen last year. We kind of expected that, and I think that is -- so that's why we're aggressively looking at new businesses too.
Eric Jansen Beardsley - Goldman Sachs Group Inc., Research Division: So in terms of the 11.5%, I think you were at the end of the first quarter versus the 10.8% at the end of the second quarter. I mean, is that a similar trajectory we'd expect to see or was there something larger that happens in the second quarter to bring it down?
Rina Paniry: So we changed our methodology in computing the optimal leverage return. We can take you through that offline. But if you go through the supplement docs, we've shown you an as-restated version that conforms, so you have comparable metrics for March 31 and December 31. So the 10.8% as of June is actually comparable to a 10.9% as of March.
Barry S. Sternlicht: It's 11.2% at the end of last year. So again, I think it's the nature of the mix, the construction loans, the first mortgages, and I think as they are -- remain in the portfolio and something is prepaid or repaid on schedule. I think we've gotten repaid $4 billion or $5 billion of loans since we started. So it's normal course. It's not like we've never been repaid before, and we actually look carefully at those repayments to make sure that we know it's coming in and we can redeploy the cash quickly. And as Rina said, we just pay off a line. The lines today are tight. They're not 4% anymore. So they're LIBOR plus 2-something. So you're not gaining that much by paying off the debt, but it's not 100% loss, if you will. It's not -- [indiscernible] of cash earning 10 basis points. It goes to something, but we have been relatively unlevered at periods, and that's -- it's nice and safe, but it's not good for our earnings so...
Eric Jansen Beardsley - Goldman Sachs Group Inc., Research Division: Got it. And then just on the risk factor that you added in the 10-Q related to LNR. I guess, is there anything behind that other than just the news stories that we had a couple of months ago?
Andrew J. Sossen: Yes, it's Andrew. I think we just felt from a legal perspective that it made sense to be protective, and put a risk factor in there. But obviously, those stories came out a month or so ago, and then there was a quick retraction by the New York State Department of Financial Services. So we'll see where, if anywhere, the story goes, but we've received nothing from them either formally or informally. We don't have any discussions around the LNR business.
Eric Jansen Beardsley - Goldman Sachs Group Inc., Research Division: Okay, great. And then just lastly, I guess, what contributed to the delays in terms of getting loans closed? Was there anything that was market specific or was it just individual deals being slightly pushed back?
Barry S. Sternlicht: It was really borrowers. Like the -- the West 57th Street deal just took forever. They had to get some city approvals. That took a long time. I mean, it's just -- it's hard. It's hard to predict sometimes. And usually, we're better than this. This was a bad quarter. Usually, I don't remember it impacting us this much, and we were debating. We had such a big book at that time. We didn't know how to size the equity offering, and the shoes get done automatically. That was dilutive, and we obviously haven't been back to the market with an equity offering since April, but it did not. We tried do better than that. It was not a good execution on our part. It's hard. I mean the borrower -- you got to have the money when the borrower wants to close, and then he doesn't close and you're like, what? We have several transactions in the hopper that have been on the books for 6 months. So we think we're doing the deal, but the guy, for one reason or another, hasn't closed. So it's not -- we don't get to determine when they close. I hate that part, and we don't want to pull our commitments either because they're good.
Operator: And we'll go next to Ken Bruce of Bank of America.
Kenneth Bruce - BofA Merrill Lynch, Research Division: Quick question for you. Just as you are thinking about leverage, or maybe willing to take leverage up a little bit, how should we be really thinking about that? I mean, leverage has to be looked at, I think, carefully. You've kind of identified one of your competitor/peers, they've got a higher ratio, just the assets that you're focused on are slightly different. So how should we really be thinking about what the upward bound might look like, how you would think about just increasing that leverage? And I realize that it's kind of a moving target, but if you could just give us some help, that would be useful.
Barry S. Sternlicht: So on the equity side of our business, we lever to the cash flow stream, the security of the cash flow stream, and I wouldn't think we'd approach the debt side much differently. We'd look at, like, one of the earliest deals we did, I think, were 25 Walgreen leases, which are AAA, and 25 years long in duration. So well, I think we levered that deal 90%. I think it's a way out the curve, and are the only one at that point. I think it's still in our book. So we don't really have a fixed rule, and I wouldn't give you on this call what the board would determine as the optimal leverage for the company. But we are looking at it, and I think as you pointed out, we do some slightly different things, obviously. We do compete with that company and several others in originating loans. And a first mortgage, if you're writing a first mortgage, would you take those debt, let's see, those 75% first, would you take 50% senior? Absolutely. Would you take a 60% senior? I suppose so. I mean, depending on what kind of asset it was. If it was a hotel, maybe not. If it was an office building, maybe, especially if it's a long leased office building. But so you're right, I mean, you can't go perfectly apples-to-apples. Are you buying or originating a mezzanine, and so you're buying the mezzanine. We bid on some notes yesterday. So I don't know what would happened to them, but they're all mezzanines. I mean, and so, we're going to -- what we do is we look at each of our assets, and we take our -- convert debt and our term debt, and we allocate it to this paper, as if it was direct debt on those instruments, and we see if what we call levered or over-levered. And right now, we're about where we want to be. But as these loans fund, the construction loans fund, we're going to be under-levered. And so there, we have something to do, and we know when we have something to do so we'll go do it, I hope. But I think it changes as the complexion of the portfolio changes, and there's no heart in the FAS rules.
Kenneth Bruce - BofA Merrill Lynch, Research Division: Okay. On a related note and one that's sensitive for investors is there was some discussion about what level you would need to be at in terms of having enough turnover within the portfolio that you would be able to essentially self-fund your origination pipeline as you go forward. Obviously, you're having a pretty significant pipeline as it is, and the sense is that...
Barry S. Sternlicht: We're getting office awfully close, right? I mean, we're at $1.2 billion of capital deployed and $500-something million coming from repayments. We're getting pretty close. It really depends on -- we haven't changed our thought. If we can deploy capital accretively, and if we want capital, we'll get it because, again, I think, it drives -- it makes the rating agencies happier, the more equity we have, and the closer we'll get to investment-grade, and we could finance at the entity level at very cheap spreads. That is nirvana for a finance company. But right now, we're busy deploying this money that's coming back. So we got -- I don't think it's going to change for a while. I think we'll be out of the equity markets for a while other than if we buy General Motors. That's a joke.
Unknown Executive: [indiscernible] General Motors.
Kenneth Bruce - BofA Merrill Lynch, Research Division: Yes, we'll wait for that print to come across the ticket here shortly. Well, I guess, where, I guess, I'm focused on...
Barry S. Sternlicht: Just plants and equipment. Don't worry about it, not the whole thing.
Kenneth Bruce - BofA Merrill Lynch, Research Division: Okay. Well, I mean, I think investors are clearly have been comfortable with the growth that Starwood's been able to achieve, and I think that there's a view that to the degree that there is maybe a little less dilution over a period of time, and that would be even -- that would be nirvana from an investor's perspective. But obviously, you've got to balance the gross and the opportunities that you see...
Barry S. Sternlicht: But you have 2 kinds of businesses here. You have the lower ROE business is the large loan leverage business, and then you have the higher ROEs of the LNR activities. The conduit runs an ROE that came in as fantastic, I mean, they turned their capital 11 times?
Andrew J. Sossen: 11 times.
Barry S. Sternlicht: 11 times so...
Andrew J. Sossen: They're triple digits levered [indiscernible]
Barry S. Sternlicht: We give them a little balance sheet, and they just -- they have a really good team, and they've done a nice job.
Kenneth Bruce - BofA Merrill Lynch, Research Division: Yes. Well, I mean, you have to turn over business. And actually, that brings up a point, what was the gain on sale margins in the quarter? I haven't had a chance to look at it that detailed, but was there a significant move quarter-over-quarter or how are they holding up?
Rina Paniry: It's roughly $10 million gain for the conduit this quarter.
Barry S. Sternlicht: So it's like 3 points?
Andrew J. Sossen: We've been kind of high 3s.
Barry S. Sternlicht: High 3s.
Kenneth Bruce - BofA Merrill Lynch, Research Division: Okay. So still a little above the 2 that's kind of "normal"??
Barry S. Sternlicht: Yes, they've got a big team. They do a good job.
Operator: And we'll go next to Arren Cyganovich with Evercore.
Arren Cyganovich - Evercore Partners Inc., Research Division: Just a follow-up on the earlier questions about credit spreads gapping out. I know it's too early to tell how it's impacting the market today. But in general, if this were to sustain for a while, how do you view that affecting your business? I would think it would be generally a good thing to have a little bit more fear in the market, help your spreads, maybe slowed down originations a little bit, but what are your thoughts historically on how this impacts your business?
Barry S. Sternlicht: You're talking about the tightening of credit spreads, how it affects our business?
Arren Cyganovich - Evercore Partners Inc., Research Division: No. Recently, how credit spreads have been widening out over the past few weeks, if that were to sustain?
Barry S. Sternlicht: Well, we like it. I mean, it would be fantastic for us [indiscernible] because we're going to be there, and we're not a bank, and the banks tend to overreact, both directions, right. They get too tight. They buy at the lows and sell at the highs. And I think that the same thing is true in lending. When it's [indiscernible], they freeze, and they don't want to have mark-to-market losses. I mean, it's interesting how the market's evolving, right? It's sort of just in time lending. They want to lend usually, unless it's well, pretty much to the next securitization, where they can get rid of the loan. They want the loan to close day 2, and the securitization to take place day 3. They don't want to warehouse this stuff. And they don't want any movement on their balance sheets or credit spread erosion. So I think we like this better than the other direction. I'm telling you that. This is really good. Also, we use this competitively with people. We say that we're you're guy, right, when the shit hits the fan, or you need to extend out -- you have a tenant blow out and you need a TI loan or you need a -- put a new roof on suddenly, come to us, we're the guy. We'll stretch our junior notes. So we're flexible. That is a big selling point for us as opposed to the securitizations of the big securitizations, where they're dealing with inflexible situations. So that's probably the single most important thing we can do is being an understanding lender, and be flexible, and we've had that happen many times, where the guy needs a little more money for something, and we look at it. And we say, "Okay, you can have it." And we lend it at high spreads, so we're good with that, but I think it's -- that's a good thing. It's one of our most important differentiating features. And I how we can continue to compete in the market. I have a -- we just made a loan, and the guy is coming here to talk. We got the loan because of another loan we made to the guy. He gave us not only first look, but last look, and he wants to come here and thank us, and talk about other things we can do together. They just like our flexibility and they complement our team. And the team's done a nice job. They're tough, but they deliver what they say, and that's our calling card in the market. That's really important in the lending markets, and some people don't care. They scrape the bottom basis point, but these are trillion dollar markets. We're not going to get every deal, not with a $500 billion equity base. So we just have to find enough stuff to keep us busy.
Kenneth Bruce - BofA Merrill Lynch, Research Division: Okay. And moving on to the servicing book, you have, I guess, like around $136 billion of UPB. Do you have any idea of -- or could you provide the potential amounts that are going to be maturing in 2016 and 2017 when we get to that kind of steeper wall there?
Barry S. Sternlicht: We're named servicer on something like $35 billion each year of -- I think it's $117 billion, $119 billion of maturities with 2 years, '16 and '17. So we have about 1/3 -- roughly 1/3 of the market we're named servicer. Again, we don't know what that means. We know it's good. No, I can give you the exact numbers. It's -- we're named on 27 of $118 billion in 2016, 41 of $117 billion in 2017. By the way, in 2015 next year -- this year, we're named on 16, 15.8 of $44 billion. And next year, 2015, we're $30 billion of $80 billion, so that's quite a bit. Now don't forget, those loans can get extended, refinanced. There's no guarantees on anything, but it's not a bad thing. And our guys fight everyday to maintain those trips [ph]. And some of our senior, we have securities go to those control features that allows us to eat those fees. But look in our -- and Rina mentioned in her comments that the book value of our servicer now is like roughly $200-odd million, which is, what, like 4% of our assets or something. So it's a nice fee stream, but there are other parts of the LNR that are doing really well. And we just had a town hall meeting down there with Corey and the team, and we're working on lots of new ways to deploy capital. We've given, I think, 4 new business lines or something like that since last quarter meeting, which we won't tell you what they are, but they've got 4 new things to do. So we've broadened their scope, and we'll let them. There's a lot of people down there. So we're -- and each -- these are businesses that you can put $250 million out per business a year, $1 billion of capital, it's all good, and it diversifies us again, and there'll be a time when you can't do something, and we have to have other businesses to take the slack.
Cory Olson: The other thing I would say is we've done...
Barry S. Sternlicht: That's Cory, by the way, speaking.
Cory Olson: Yes, this is Cory Olson. We've done 10 deals this year, where we've been named SS. We've done that by buying the B pieces. We've done that...
Barry S. Sternlicht: As in Special Servicer, not Secret Service.
Cory Olson: And we've accomplished that mostly through partnering. I think every single deal, we've had a partner, and so we've deployed less than 50% of the BP's purchase price on our balance sheet that picked up another 20% in UPBs in the portfolio. So when you think of '16, '17, we're constantly extending out that window into the future so we're refreezing some ice, if you will, onto the ice cube. So lots of activity on that front.
Kenneth Bruce - BofA Merrill Lynch, Research Division: That's helpful. And then just lastly the -- I guess, with doing less construction loans, I would assume that you're funding more of the loans so the roughly $600 million that you did this quarter, is most of that funded and, out of the $1.1 billion that are kind of scheduled for the third quarter, how much would you expect to fund out of those as well?
Barry S. Sternlicht: Of the $600 million that we close in Q2, we funded approximately $500 million of that. Of the $1.1 billion that we've closed subsequent to quarter end, we'd have to look and see how much of that actually went out at closing. I don't know if, Rina [indiscernible]
Rina Paniry: I don't know about [indiscernible]. It's a small...
Barry S. Sternlicht: Yes. We can look and get back to you.
Cory Olson: I think our funding -- I think this is right. The fundings under the construction loans, I think, are around $300 million a quarter, or something like that roughly over the near quarters.
Barry S. Sternlicht: Yes, a little less. More like $150 million. They're having in the third quarter $250 million, but you heard about the repayments of $500 million dollars so you can see where half of the money is going. And then we've got $150 million, $170 million a quarter. I will -- I don't know who votes on these things, but we went public in '09, we said we'd have the best transparency and the best reporting, and we just won some gold award, I don't know, a trophy somewhere or from NAREIT for the best disclosure in our sector. So we -- it's nice to see that somebody noticed. And we think that's just good for real, and you make smarter decisions. So we are clearly very transparent. [indiscernible] leading the industry in transparency, a little too transparent frankly. I don't know if it's something that I can't figure out on our own disclosure. But anyway, so there you have it.
Operator: And our last question comes from Gabe Poggi with EJF Capital.
Gabe Poggi: We are almost up to the 1 year anniversary of the last iteration of the risk retention rules as proposed by Dodd-Frank as it pertains to CMBS. I just wanted to get an update on your guys' thoughts as to when maybe we would get -- I know you guys are talking to a lot of people in the market on a daily basis. When you might get that next update of the rule? And then really, what that would mean for you guys. Obviously, with LNR, potentially as written, it could be very positive, but just curious as to your thoughts.
Cory Olson: We just had a correspondence recently providing some information to the treasury, and at this point, still no commitment as it relates to timeline when we'll see anything. And then as you know, there's a period of time up to 2 years to implement whatever comes out.
Barry S. Sternlicht: I got to tell you, it's unbelievable. I was down in the Treasury and the SEC, I think, 2.5 years ago now, and wow just [indiscernible] I was going to say. Well, I was joking. I said when Obama shows leadership [indiscernible]. So it's okay. Anyway, the -- I do want to end on one note. Boyd has an issue with a family member. So he's not here in Connecticut with us and I just want to wish him well.
Boyd W. Fellows: Thanks, Barry. I am on now, though. I came in.
Barry S. Sternlicht: I know you're on.
Boyd W. Fellows: Oh, I'm not physically there. Yes, thank you very much, Barry.
Barry S. Sternlicht: You're welcome. So I know the whole company wishes you well with your situation. It's not Boyd by the way. It's a family member. So with that, thanks, everyone, for listening in, and we're always here to answer your call. [indiscernible] We also want to thank Zach for joining us, he's done a great job in IR, and a really great job. So you have a point person also to talk to. But thank you. Have a great day.
Operator: Thank you. This concludes today's conference. We appreciate your participation.